Operator: Hello. And welcome to The Greenbrier Companies Fourth Quarter and Fiscal 2024 Earnings Conference Call. Following today’s presentation, we will conduct a question-and-answer session. Each analyst should limit themselves to one question with a follow-up if needed. Until that time, all lines will be in a listen-only mode. At the request of The Greenbrier Companies, the conference call is being recorded for instant replay purposes. At this time, I would like to turn the conference over to Mr. Justin Roberts, Vice President and Treasurer. Mr. Roberts, you may begin.
Justin Roberts: Thank you, Chuck. Good afternoon, everyone, and welcome to our conference call today. I am joined by Lorie Tekorius, Greenbrier’s CEO and President; Brian Comstock, Executive Vice President and President of the Americas; and Michael Donfris, Senior Vice President and CFO. Following our update on Greenbrier’s 2024 performance and our outlook for fiscal 2025, we will open up the call for questions. Our earnings release and supplemental slide presentation can be found on the IR section of our website. Matters discussed on today’s conference call include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Throughout our discussion today, we will describe some of the important factors that could cause Greenbrier’s actual results in 2025 and beyond to differ materially from those expressed in any forward-looking statement made by or on behalf of Greenbrier. Throughout the call today, you will hear us referring to recurring revenue. We define that as Leasing & Management Services revenue excluding the impact of syndication activity. And with that, I will hand the call over to Lorie.
Lorie Tekorius: Thank you, Justin, and good afternoon, everyone. Greenbrier’s positive momentum in 2024 expanded during our fourth quarter. We’re advancing our multiyear Better Together strategy focused on three key areas, maintaining our Manufacturing leadership position in all our geographies, improving our Manufacturing gross margins and doubling recurring revenue in our leasing business. I’m pleased with the results and achievements since we launched this three-part strategy just two years ago. In Q4, Greenbrier generated our second highest quarterly EBITDA of $159 million and aggregate gross margin expanded to 18.2%. This is 310 basis points of sequential margin growth. Full year aggregate gross margin of 15.8% is 460 basis points higher than fiscal 2023. Q4 was our fourth consecutive quarter in gross margin in the mid-teens or higher, driven by strong manufacturing and syndication execution, as well as recurring revenue growth. In less than six quarters, we achieved the long-term target we provided during our Investor Day in April 2023. And I want to recognize everyone at Greenbrier from the shop floor to the boardroom for their actions in executing our ambitious strategy and helping us reach this important milestone well ahead of schedule. Operating efficiencies continue to improve, and we’re advancing key initiatives across the organization, such as insourcing and lease fleet expansion. And since we announced plans to expand our own rail car lease fleet, we’ve increased recurring revenues from leasing activities by 25% and are on track to double them within the next four years. We’re also nearing our targeted range for return on invested capital, which we originally expected would take until 2026 to reach. And while these key performance indicators are favorable, hard work remains. Another highlight in the quarter was commemorating Greenbrier’s 30th anniversary as a public company by ringing the opening bell at the New York Stock Exchange with my colleagues. This celebration, and our robust operating and financial performance in Q4 ended the year on a high note. As you may have seen in our earnings release earlier today, we issued guidance for fiscal 2025. Michael will provide more color shortly, but you can expect enhanced aggregate gross margin from fiscal 2024 levels and strong bottomline results by leveraging the operational efficiencies we’ve achieved and remaining highly focused on execution. This is consistent with our primary strategic imperative to ensure that Greenbrier can deliver sustained higher performance across a range of market conditions. Greenbrier will also continue to enhance our market-leading position by executing on innovation. For example, our engineering team recently designed a high-sided gondola using ultra-high strength steel and a new anhydrous ammonia tank car. Our team continues to leverage our deep industry experience to grow Greenbrier’s share of customer spending for railcars, wheels, parts, maintenance and management services. This integrated approach will continue to differentiate Greenbrier from our competitors and position us well for the future. Our commercial team, with its strong lease origination capabilities, continues to perform well. This gives us excellent visibility for Manufacturing and steadily builds our stream of lease revenue. We start the new fiscal year with a multiyear backlog valued at $3.4 billion and tremendous optimism about Greenbrier ‘s future. And with that, let me turn the call over to Brian Comstock, who will discuss our operating activities and market conditions in greater detail.
Brian Comstock: Thanks, Lorie, and good afternoon, everyone. Not only was it a great quarter, but our operations performed exceptionally well for the entire year. The leasing team continues to produce results. They grew the fleet by 300 units in the quarter with a stable fleet utilization of around 99%. In fiscal 2024, we invested over $260 million on a net basis in the fleet, supporting our multiyear goal of doubling recurring revenue. As Lorie mentioned, we are 25% of the way toward the goal and expect a stable stream of higher margin revenue that reduces the impact of market cyclicality on our results. We remain very disciplined in our approach and will continue investing up to $300 million per year on a net basis, provided that the fleet additions meet our return criteria. Lease renewal rates continue to grow at double digits and during the quarter, we renewed all units that were coming off lease. In fiscal 2025, only 10% of the leases are up for renewal. Given the ongoing strength in the leasing market, we are confident we will successfully renew or re-market these units. In September, we renewed and extended our non-recourse warehouse debt facility, extending the revolving period to September of 2027, reducing the size by $100 million to $450 million and reducing all-in pricing by more than 25 basis points. This prudently aligns a facility to our current needs at an expected lower interest expense. Our average interest rate remains in the mid-4% range, significantly lower than current market interest rates. Turning to the new railcar market, Greenbrier secured orders of 4,400 units worth $575 million in the quarter. With demand continuing across most railcar types, our backlog is strong at 26,700 units with an estimated value of $3.4 billion, which provides significant revenue visibility. The current market is different than the boom-bust-build cycles of the past. At present, it is a supply-driven replacement market that allows us to predict steadier demand over time. Traffic and velocity gains are projected to be modest and stable, further minimizing railcar demand swings. Intermodal and carload traffic are projected to grow modestly in 2025. North American railcar fleet utilization is about 81%, with 312,000 units of the fleet and storage as of October. The true surplus percentage of railcars is lower than the 19% reported due to chronically idled railcar types. Overall, utilization has been consistent during the last year, driving lease rates higher with longer lease terms in response to tighter fleet supply. Not only has the North American market changed over the last several years, but Greenbrier’s Manufacturing approach has also evolved. We are focused on maximizing our industrial footprint. This means managing our production capacity for new railcar manufacturing and addressing the growing need for programmatic railcar restoration activities. This involves repurposing existing railcars into new equipment service through re-bodying work, stretch conversions, re-racking, or deck conversions. It also includes tanker retrofits and re-qualifications. This work is performed for large fleet owners who require work on hundreds and sometimes thousands of railcars at a time. These customers need streamlined and cost-saving options as they diversify and optimize their fleets to meet their own efficiency targets. In fiscal 2025, we will perform these activities on several thousand units. This work is accretive to Greenbrier and is in addition to our new railcar backlog or current delivery guidance. Our international backlog remains healthy and our sales pipeline is strong. European production capacity is mostly allocated through fiscal 2025 as volumes through our European leasing channel continue to grow. Our ability to originate and syndicate leases is integral to the long-term performance of our European Manufacturing business and we see potential for further growth. In Brazil, we are observing an increase in demand that aligns with expectations as customers finalize infrastructure investments and transition to purchasing of railcars. In Q4, we delivered 7,000 railcars, a significant increase from 5,400 in the prior quarter. Manufacturing gross margin in the fourth quarter rose sharply to 14.8%, marking the highest gross margin in over six years. Q4 benefited from strong syndication activity and product mix. Importantly, there has been meaningful margin growth since we initiated our strategic plan 18 months ago. Many of the efficiency gains will be sustained and we continue to work on other initiatives, including our insourcing activity. Expanding in-house fabrication for basic primary parts and sub-assemblies remains on track. We intend to complete the project in Q3 of fiscal 2024 and realize the remaining benefits. In Q4, syndication of 1,600 units with multiple investors generated strong liquidity and margins. In fiscal 2024, we syndicated 6,000 units, the second highest level in our history. This performance shows that liquidity and demand remain solid in the market. Maintenance Services achieved another solid quarter. We continue to focus on initiatives to improve efficiencies around car flow, cycle times and employee retention. These initiatives have led to year-over-year increase in the gross margin for Maintenance Services. With major contributions from our experienced and agile management team, Greenbrier is successfully implementing our strategic plan, positioning us well for the future. I’ll now turn the call over to Michael.
Michael Donfris: Thank you, Brian, and good afternoon, everyone. Given the significant amount of information in the earnings release, supplemental slides and prepared remarks by Lorie and Brian, I’ll focus on liquidity in 2024 and conclude with fiscal 2025 guidance. Greenbrier generated operating cash flow of $192 million for the quarter and $330 million for fiscal 2024. The increase to both the quarter and full year was primarily due to net earnings and improved working capital, largely attributed to a reduction of inventory and assets held on the balance sheet for syndication. Liquidity in the fourth quarter improved by nearly $100 million from $605 million in the third quarter to $698 million in the fourth quarter. This consists of $352 million of cash and an available borrowing capacity of $346 million. Because of the strength and flexibility of our balance sheet, we continue to be well positioned to navigate market dynamics. In fiscal 2025, we expect liquidity will continue to grow, driven by improved operating results, working capital efficiency and increased borrowing capacity. Over the past 10 years, Greenbrier has returned over $0.5 billion to shareholders through dividends and share repurchases, including $9 million of dividends in Q4. Continuing on our commitment of returning capital to shareholders, last week Greenbrier’s Board of Directors declared a quarterly dividend of $0.30 per share. In addition to dividends, we have $45 million of share repurchase authorization remaining and will be opportunistically repurchasing shares to create long-term shareholder value. Before providing additional color on our fiscal 2025 guidance, it’s worth emphasizing that we delivered financial results during the fourth quarter which surpassed expectations and led to finishing the year on a strong note. We continue to execute our multi-year strategy and believe our results demonstrate the benefit of our diligent focus on our strategic plan. We are well on our way to doubling recurring revenue by fiscal 2028. This is from a starting point of $138 -- $113 million 18 months ago. We have already achieved our goal of aggregate gross margins in the mid-teens and are close to the return on invested capital target range of between 10% and 14% by fiscal 2026. With these results, combined with knowing the energy level and commitment of Greenbrier’s team, I am bullish that we will effectively execute our plan and deliver significant value to our shareholders. And now, I’ll close with comments on our guidance. Based on recent trends, a robust diversified backlog and current production schedules, Greenbrier’s fiscal 2025 outlook is as follows. New railcar deliveries of 22,500 units to 25,000 units. This includes approximately 1,600 units from Greenbrier Maxion Brazil. As Brian mentioned, we have dedicated a portion of our flexible footprint to railcar restoration for multiple customers that is accretive to earnings, but not included in new railcar deliveries. Revenue is expected to be between $3.35 billion to $3.65 billion. We expect to grow aggregate gross margin percent 20 basis points to 70 basis points to 16% to 16.5% from 15.8% in fiscal 2024. We plan to deliver operating margin percent of 9.2% to 9.7%. We chose to include this metric in our guidance since it not only captures selling and administrative expenses, but it also incorporates how we manage our lease fleet optimization activity reflected through gains on sale. For capital expenditures, which will include some carryover spending from our fiscal 2024 insourcing initiatives, we expect to invest $110 million in Manufacturing and approximately $10 million in Maintenance Services. We are planning for gross investment of around $395 million in Leasing & Management Services, including capital expenditures, as well as transfers of railcars into the lease fleet that were manufactured in 2024. Proceeds of equipment sales are expected to be around $90 million. In closing, we are very pleased with the quarterly and full year results. Greenbrier’s strong performance in 2024 was attributed to our dedication and attention to creating value for our shareholders. Our financial position is strong and our Better Together strategy is progressing well. I am confident that Greenbrier is well positioned to delivered continued value and we remain optimistic about the future. And now, we will open it up for questions.
Operator: [Operator Instructions] And the first question will come from Bascome Majors with Susquehanna. Please go ahead.
Bascome Majors: Good afternoon. Looking into next year, I mean, there had been some concern that the North American cycle could be a little more tepid near-term just based on industry orders. I mean, you’re guiding to roughly flattish deliveries year-over-year. Can you bridge us through your different markets and maybe give us some color on your backlog coverage and where there’s opportunity and risk to any of your different regions here? Thank you.
Brian Comstock: Yeah. Thanks, Bascome. It’s Brian. I can give you a little bit of color on the backlog and the bridge. So as you know, one of the products that’s really been hot has been the automotive market. And while automotive has been hot, boxcars and some other products have slowed. We’re seeing a mixed shift in the back half of the year and we’ve secured quite a bit of that backlog to-date. So that’s really what’s providing us with the confidence in the guidance that we’re providing here today.
Michael Donfris: And I would say that we came into this year with significant visibility already Bascome more in line with historical averages. So…
Bascome Majors: Yeah.
Michael Donfris: … you might see more white space and late spring to summertime. But the first six months, seven months of the year are very solid from a production perspective. In North America, we have quite a bit of visibility in Brazil and in Europe as well.
Bascome Majors: Thank you for that. And piecing it all together, it does seem like with the margin improvement, there is an opportunity to, put EPS in the close to $5 range if you bridge this all together. Is that roughly where you’re getting at or are there some other items maybe below the line that we should think about to get from what you’ve guided officially to EPS? Thank you.
Lorie Tekorius: Bascome, this is Lorie. I think you’re spot on. We came very close in 2024 to being, we’re just shy of $5. And I can tell you that the way that this team is operating and executing, I have no doubt that we will continue to show improvements as we work through 2024, I mean 2025.
Bascome Majors: And last piece, it seems that the market in North America, at least, has moved away from the long-term speculative order from leasing companies. Do you think that’s a permanent change or reflective of some other issues and could we see some of that come back in 2025? Thank you.
Brian Comstock: Bascome, that is a great question, and quite frankly, it’s been one that has benefited Greenbrier and other builders over the past few years because the operating lessor community has by and large been on the sidelines with the exception of a few. It has contributed to our strong lease origination capabilities and one of the reasons why we really covet that side of our business. Whether or not it’s a long-term shift, this has been going on now for probably four years, five years, where operating lessors have been on the sidelines. Started during COVID, then as interest rates became very volatile, I think it was a cost of capital issue or it was very difficult to match it up in time. I’m not sure. But one thing that has shown itself is that, there’s enough activity between the builders and some of the operating lessors to take care of the market. So whether they come back in or not, it would probably boost multiyear new car deals potentially. But on the other hand, it tends to potentially erode leasing economics because you have more product in the hands of others. So, hopefully that helps you a little bit.
Lorie Tekorius: And I would just add in that I think what we’ve seen over the last few years is just a lot more disciplined behavior…
Brian Comstock: Yeah.
Lorie Tekorius: … in the North American market and I think that that’s voting worked very well for everyone. And while we haven’t seen the operating lessors make big, large, speculative orders, they have been very active, whether it’s on the new car side and in the secondary market. So I think the overall market is quite active. It’s just being very disciplined.
Bascome Majors: Thank you all.
Lorie Tekorius: Thanks, Bascome.
Brian Comstock: Thanks, Bascome.
Operator: This will conclude our question-and-answer session. I would like to turn the conference back over to Mr. Justin Roberts for any closing remarks. Please go ahead, sir.
Justin Roberts: Thank you very much for your time and attention today. If you have any other follow-up questions, please reach out to investorrelations@gbrx.com. Have a good day.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.